Operator: Good day, everyone and welcome to the FedEx Corporation First Quarter Fiscal Year 2016 Earnings Conference Call. Today's call is being recorded. At this time, I will turn the call over to Mr. Mickey Foster, Vice President of Investor Relations for the FedEx Corporation. Please go ahead, sir.
Mickey Foster: Good morning, and welcome to FedEx Corporation's first quarter earnings conference call. The first quarter earnings release and our 26 page stat book are on our website at FedEx.com. This call is being broadcast from our website, and the replay and podcast will be available for about one year. Joining us on the call today are members of the media. We would like to invite questions via email or as a message on stocktwits.com. For e-mail, please indicate your full name and contact information with your question and send it to our ir@fedex.com address. To send a question via stocktwits.com, please be sure to include $FDX in the message. Preference will be given to inquiries of a long-term strategic nature. During our question-and-answer session, callers will be limited to one question in order to allow us to accommodate all those who would like to participate. I want to remind all listeners that FedEx Corporation desires to take advantage of the Safe Harbor Provisions of the Private Securities Litigation Reform Act. Certain statements in this conference call may be considered forward-looking statements within the meaning of the act. Such forward-looking statements are subject to risks, uncertainties and other factors which could cause actual results to differ materially from those expressed or implied by such forward-looking statements. For additional information on these factors, please refer to our press releases and filings with the SEC. To the extent we disclose any non-GAAP financial measures on this call, please refer to the Investor Relations portion of our website at fedex.com for a reconciliation of such measures to the most directly comparable GAAP measures. Joining us on the call today are Fred Smith, Chairman; Alan Graf, Executive Vice President and CFO; Mike Glenn, President and CEO of FedEx Services; Chris Richards, Executive Vice President, General Counsel and Secretary; Rob Carter, Executive Vice President, FedEx Information Services and CIO, he is joining us via telephone today; David Bronczek, President and CEO of FedEx Express; Henry Maier, President and CEO of FedEx Ground; and Mike Ducker, President and CEO of FedEx Freight. And now our Chairman, Fred Smith, will share his views on the quarter.
Fred Smith: Good morning and welcome to our discussion of results for the first quarter of fiscal 2016. FedEx Corporation is performing solidly given somewhat weaker than expected global economic conditions, especially in manufacturing and global trade. Our profit improvement plan is on track and delivering impressive results. Well done to the Express Team. FedEx Ground and FedEx Freight have several anomalies in the first quarter, which will be discussed by Alan Graf and the OpCo CEOs during their presentation. Overall, FedEx service levels are excellent, our culture remains strong, and our balance sheet is solid. We remain confident FedEx is well-positioned to deliver long-term value for customers, shareowners, and team members in FY ‘16 and beyond. As we said in the past and reiterate today, we are confident we can continue to increase margins, earnings per share, cash flow, and returns on invested capital in the years to come. Now, I’ll turn the program over to Mike Glenn, who will talk about the economic outlook, and he'll be followed by Alan Graf in his comments on the quarter.
Mike Glenn: Thanks Fred. I'll open with our economic outlook and then discuss our yield in each segment along with the pricing actions that we announced yesterday. We see moderate economic growth in the global economy. Our U.S. GDP forecast is 2.5% for calendar ‘15 and 2.8% for calendar ‘16 led by gains in consumer spending in the near-term. We expect industrial production growth of 1.6% in calendar ‘15 and 2.6% next year. Our global GDP growth forecast is 2.5% for calendar ‘15 and 2.9% for calendar ‘16. The IP forecast of 1.6% of calendar ‘15 is 60 basis points below our June estimate. Weather, foreclosures, lower oil CapEx, and weak export from the strong dollar slowed production early in the year. Due to the strong imports, we saw and inventory buildup in the first half of calendar ’15, which will be a drag on IP in the near-term. Now let me make a couple of comments on the company's yield performance in each segment. In the domestic Express sector, excluding the impact of fuel, year-over-year yield per package grew 2.4% primarily due to rates and discounts. Excluding the impact of fuel and comparing the year-over-year yield on a gross basis for SmartPost, ground yield per package including SmartPost increased 5.5% driven primarily by changes in dimensional weight rating, extra services, and SmartPost customer mix. In the international export segment, excluding fuel, international export express package yield decreased 1.3%, primarily driven by the negative impact of exchange rates, which outweighed the positive impact of weight, rate, and discount changes. If you exclude fuel and exchange rate impact, IP base yield was up 4% and IE yield was up 4%. In the Freight segment, excluding the impact of fuel, yield per shipment increased 3.3% year-over-year, primarily driven by rate and discount and shipment class. As we announced yesterday, we’ll be raising rates at FedEx Express, Ground, and Freight by an average of 4.9% on January 4, 2016. In addition to the rate changes, FedEx is also increasing surcharges for unauthorized packages in the FedEx Ground network that exceed the size and weight limits as outlined in the FedEx service guide, and we’re also updating certain fuel surcharge tables at FedEx Express and Ground effective November 2, 2015. We’re also well-prepared for what we expect to be another record peak holiday season, and I'll note that we’re not slowing or adjusting our service commitments heading into peak. We’ve been closely working with our customers all year to understand their peak shipping needs and we stand ready to deliver. We expect to add more than 55,000 seasonal positions throughout the network that help the holidays arrive this year. Based upon our growth expectations and network expansion, many of these seasonal workers will have an opportunity to continue working with us after the holidays. And now I’ll turn it over to Alan Graf.
Alan Graf: Thank you, Mike and good morning everyone. Our first quarter EPS was $2.42 compared to an adjusted $2.12 last year, and we achieved a 9.3% operating margin. Our results increased due to significantly higher operating income at Express, star of our portfolio, the benefit of one additional operating day at all of our transportation segments, and the continued positive impacts from our profit improvement program. These factors were partially offset by higher incentive compensation accruals, higher self-insurance and operating costs at Ground, and lower than anticipated volumes at Freight. The corporate net impact of fuel was also slightly negative year-over-year. Looking at Express, revenues declined 4% in the first quarter due to the negative impact of lower fuel surcharges and unfavorable currency exchange rates, partially offset by U.S. domestic base yield and volume growth and international export base yield growth. U.S. domestic average daily volumes increased 1% as both our deferred and overnight services offerings grew. International Priority volume declined 5% while International Economy grew 4%. Despite the lower revenues, Express operating income increased 45% and operating margin grew 280 basis points year-over-year. The increase in operating income was primarily driven by higher international export in U.S. domestic base yield growth, the benefit from one additional operating day, and lower international expenses due to currency exchange rates. Our profit improvement initiatives for revenue quality and expense constraints are working and are on track. Taking a quick look at TNT, the cost related to the pending acquisition of TNT Express were immaterial for the quarter. We are making timely progress on the necessary regulatory steps required. We have started the planning for the integration of TNT and Express after completion of the acquisition. This planning includes addressing the issues that must be ready for day one implementation such as financial reporting, treasury, compliance, and governance as well as the planning for the longer-term aspects of the integration. Our integration plans currently assume that the acquisition will close in the first half of calendar 2016. Turning to Ground. Revenues increased 29%. Due to the inclusion of GENCO revenue, ground yield and volume growth, and also the recording of SmartPost revenues on a gross basis versus the previous net treatment. Regarding the June 1 change in how we report SmartPost revenue, $240 million of the revenue increase year-over-year resulted from reporting SmartPost on a gross basis. Average daily volume increased 4%, primarily due to continued growth in our Home Delivery service. Ground’s first quarter operating margin was 4.4 percentage points lower, primarily due to increased self-insurance reserves, which was 1.7% impact, the inclusion of GENCO results, which is a 1.3% impact, and the change in SmartPost revenue reporting , which is a 1.1% impact. Most of these are one-time in nature, although the inclusion of GENCO results will remain for the next 18 to 24 months depressed due to integration cost. Looking at Freight, operating results declined in the first quarter as salaries and employee benefits expense outpaced lower than anticipated volume. Salaries and employee benefits increased 10% from pay initiatives and increase staffing levels to handle higher than realized shipments. Looking at CapEx, our spending forecast for the fiscal year remains $4.6 billion. Capital expenditures were higher year-over-year this quarter primarily due to increased spending to modernize aircraft at Express. Aircraft-related equipment purchases included delivery of five Boeing 767-300 Freighters and one Boeing 777 Freighter. We are continuing to invest in our Ground facilities more this year than last as we expand the network. And this will be our peak year for investment at Ground for the next several years. At Freight, we are modernizing our truck fleet, adding new vehicles with many new safety features. Now turning to our Outlook, based on economic environment that Mike talked about, we project adjusted earnings to be $10.40 to $10.90 per diluted share for FY ‘16 before year-end mark-to-market pension accounting adjustments, driven by continued improvement in base pricing, volume growth and benefits from our profit improvement program. I should note although we are trimming our outlook from June slightly, we still are looking at the midpoint of the range being 19% higher than what we achieved last year in terms of earnings per share. Our new FY ‘16 Outlook is modestly lower than our initial forecast due primarily to higher than expected self-insurance reserves and operating costs at FedEx Ground and lower than planned volumes in yields at Freight. We still expect strong earnings growth this year and we remain focused on executing our profit improvement program, leveraging e-commerce growth and enhancing our revenue quality. Our expectations for earnings growth in the second quarter and the remainder of FY ‘16 are dependent on key external factors, including fuel prices and the pace of growth in the global economy, particularly in U.S. industrial production as Mike discussed. This outlook does not include any operating results nor integration planning and acquisition -- acquisition-related expenses for TNT Express for quarters two through four. As of August 31, 2015, we have 11.1 million shares remaining for repurchase under our current authorization. And we plan to continue buying back shares. This point I'm going to turn the program over to Dave Bronczek, who has the first question from Art Hatfield.
David Bronczek: Thanks Alan. And this question is from Art Hatfield, Raymond James. With all the discussion of our perceived or real slowdown in China for some time now and recent news from the Chinese Finance Minister that the new normal of 7% GDP growth may last four to five years. I was hoping to get your thoughts on your Trans-Pacific Express capacity going forward after last reducing flight frequency by two back in late fiscal 2013? Thanks for the question, Art. Actually our lanes are balanced around the world and including the Pacific and I think your question if you can go back and look at several quarters ago, we've actually adjusted our network two quarters ago on the Pacific. So it actually wasn't the last time we did in 2013. So right now we are very pleased with our capacity fits for the volumes in the Asia Pacific network and around the world. A lot of the traffic that we are handling now in FTN is also benefiting at FedEx Express in our profit improvement. So to answer your question, we’re very happy with our balanced lanes and course, for FedEx Express, a lot of our business coming out of China are multinational companies in the main.
Mike Glenn: At this time, we will open the floor for questions.
Operator: Thank you. [Operator Instructions] We’ll go first today to Allison Landry with Credit Suisse.
Allison Landry: Good morning. Thanks for taking my question. On the LTL side, I wanted to get your initial impressions of the recent M&A activity that we've seen and whether you see further consolidation or change in industry dynamics?
Mike Glenn: Thanks Allison. Just based on the recent activity, I would say that the market is right for that, but Con-way just was acquired by XPO. We understand what it takes to integrate a rather large acquisition like that, so we have to stay focused on our strategy and execute what we're doing, that's exactly what we’ll do.
Operator: We’ll go next to Rob Salmon with Deutsche Bank.
Rob Salmon: Thanks for taking the question and congrats at the strong results over at Express. If I could shift the discussion a little bit to Ground here, understood the impact on the self-insurance reserve. It sounded like, Alan, that was about 170 basis points. With regard to the margins, you'd also called out in the press release some headwinds related to handling some kind of oversized traffic in the network. Can you give us a sense of how big a headwind that was and how quickly you expect to be able to kind of offset that the higher costs associated with that traffic either through the announcement yesterday about the increases there, and perhaps an update related to any costs incurred for the integration of SmartPost into the Ground as part of the planning to potentially increase economic profit looking forward?
Mike Glenn: Rob, I’ll start, this is Mike Glenn. I’ll start with talking about oversized and unauthorized packaging. The change that we announced yesterday targeted specifically unauthorized packages, and those are packages where the dimensions and/or weight exceed those as specified in the FedEx service guide. If you would look at one of these packages, you would more likely to expect it to travel in an LTL network. It is up to FedEx Ground as to whether we accept these packages, but we felt the change was needed in the price or the surcharge if we elected to do so. The second category is oversized packages, and those are packages that have specifications that are within our current service guide features of service, but happen to be longer or heavier than a typical package. Those carry a separate surcharge with the dramatic shift in e-commerce, where more and more e-commerce companies are electing to ship those packages through networks like ours rather than handle them in the store. We’ve seen an increase in those types of packages. We are working with those individual customers that are driving that change, at least the ones that are having the biggest impact and obviously, we always look at pricing opportunities to mitigate that where needed. So overall, we do an excellent job of handling those packages in our network, but it’s obviously something we will continue to monitor.
Henry Maier: Hey, Rob, this is Henry Maier. Thanks for the question. We announced on the last call that we are merging SmartPost into Ground. I would remind everybody that that’s a multi-year initiative that offers a number of potential services and savings benefits. From a service perspective, we will be able to maximize the use of both Ground and SmartPost facilities to ensure carrier service year around, especially during peak. And additionally, the integrated network will enable more efficient use of our network and linehaul assets throughout the year. We also announced the change to the introduction of a new software program, which will allow us to combine packages in the SmartPost and home delivery networks destined to the same residential address on the same day. That makes a significant difference in our operating expense going forward, because the operating expense of that incremental package is significantly less than putting it into the postal network. So, we are well down the path of implementing this, but it’s going to take a couple of years to integrate all the SmartPost hubs with Ground.
Operator: We will take our next question from Chris Wetherbee with Citi.
Chris Wetherbee: Hey. Thanks. Good morning. I had two questions on the Ground side. In terms of the self-insurance approvals, how should we think about sort of that lasting as we move throughout fiscal 2016, I guess? So the question is when does it start to roll off and you start to see the sort of margin performance come through underneath that? And then just also on GENCO, trying to understand, the 18 to 24 months is sort of an integration. It seems a bit longer that I think the last time we talked about this. Just want to get a rough sense, will we see benefit to GENCO as we go through the peak season this year, or is it something we need to wait until fiscal ’17 to see some benefit from it? Thanks.
Mike Glenn: Thanks, Chris. Well, first of all, on the self-insurance reserve, we believe where we need to be right now. I think you have to understand on here that one of the drivers of that is our business is growing. We drive more miles. We put more trucks on the road, and there is an accrual based on the number of miles we drive. It’s also largely a backward looking event from an accounting standpoint. In terms of GENCO, I would say GENCO has exceeded our expectations today. We are well on track to get the integration implemented as quickly as possible. There are a number of benefits that come with the GENCO acquisition, namely the ability to sell additional value to customers. GENCO provides us with some capabilities that customers value highly and frankly, FedEx doesn’t provide, so going through time that will certainly pay dividends. As Alan said, we expect this to be pretty much concluded by the end of 18 months. I don’t know what more color I can give you than that.
Alan Graf: Hey, Chris. This is Alan. Let me add a little bit to that. First of all, as you well know, the GENCO business itself is very good but it is not a high-teens operating margin business. For just by definition that’s going to lower Ground segment’s operating margin even after integration. That’s number one. And for us, we intend to grow. It’s performing much better than I had anticipated. We are very proud of it, of what’s happening. We are getting a lot of cross-selling already, taking over a lot of the transportation that we didn’t used to have from them. So it’s very beneficial but again, it doesn’t have the same margins as the high-teens the Ground has.
Operator: We will take our next question from Tom Kim with Goldman Sachs.
Tom Kim: Thanks very much for your time. I wanted to ask just a follow-on with regard to that SmartPost Ground merger. I don’t recall hearing any such cost number. Will this merger actually impact costs and can you sort of quantify that to a certain extent for us?
Mike Glenn: Yeah, Tom. The costs are going to be significantly lower. This was why we did it. I’m not willing to put a range around that on this call. But as you can imagine, if we combine a SmartPost package with a home delivery package on the same day and deliver them on one vehicle instead of one being delivered on a HV vehicle and the other being delivered through the postal service, there is fairly significant operating expense savings to that. In addition, the ability to maximize the use of SmartPost assets and Ground assets, particularly at peak provide us with significant opportunities to reduce our operating expense going forward.
Operator: We will take our next question from Nate Brochmann with William Blair.
Nate Brochmann: Good morning and thanks for taking the question. In regards to peak and the opportunities, you said that’s kind of shaping up well and obviously the manufacturing and industrial side of the economy feels little bit weak. The consumer side feels little bit stronger. Can you provide a little bit more color in terms of some of your customer discussions, heading into peak in terms of giving you the confidence of how that’s shaping up better in terms of having another record?
Mike Glenn: Well, the best indicator I can give you -- this is Mike Glenn. The best indicator I can give you is the challenges that we have with capacity management. We are working very closely with customers to make sure we understand their forecast, where necessary we will have to put some caps in place as we have to do every year and we see nothing different in that regard and customers are requesting more capacity not less. So, we view that as a good sign and that’s why we think we are well positioned for another record peak.
Operator: We will take our next question from Helane Becker with Cowen and Company.
Helane Becker: Thanks very much, operator. Hi guys and thank you for the time. To Alan, I just wanted to ask you about the pilot contract if you don’t mind. Looks like it’s ratified a 10% increase this year and then through the year increasing, so that by 2020, it’s a 17% increase over ’15 rates. So an A and B, one, when do we hear from the pilots that whether it’s ratified into, are these cost increases included in your current guidance and three, does it address the Cadillac health plan costs that come into effect in 2017? Thanks. I guess just one question.
Alan Graf: It’s all related, Helane. We will take it. I will do the first part and I will give over to Chris Richards for part 2 and if Dave wants to add that’s fine. We think it’s a win-win contract. It is in our outlook for not just this year but our strategic outlook that we always present to our Board in the fall where we, as you know are expecting to continue to grow our earnings, our cash flows and our returns. Nothing’s changed in that regard. Also, recall that one of the key things that we are doing in Express is modernizing our fleet and the productivity that we get from that modernization is one of the key reasons that despite a significantly different economic outlook today, then when we talked about our profit improvement plan in October of 2012, we saw Express’s results. An incredible increase in earnings with a decline in revenue, that’s only possible because of our cost management. And with that, let me turn it over to Chris on the specifics and then Dave.
David Bronczek: I will go ahead and comment real quickly because Alan’s right. In our outlook going forward, the pilot contract which we think is fair and balanced and very positive for the pilots, their families, for the company, the shareholders. But it’s very much inclusive of our results in our profit improvement now and going forward and of course the new fleet helps significantly as well. Chris?
Chris Richards: Hello, Helane. It’s Chris Richards. As you think about the pay increases included in the contract, you need to keep in mind that our pilots have not had a pay increase since the agreement became amendable two years ago. So that time period is included in this overall increase, as well as the six year term of the agreement once it’s ratified. So that total number needs to be considered in the context of that timeframe. With respect to the healthcare benefits that are provided in the agreement, we’ve been very pleased that we were able to offer our pilots not only a continuation of our healthcare plan they’ve had in place but two consumer-driven healthcare options, which are identical to those which are provided to our other employees and have been found to be very attractive to those employees at a lower out of pocket rate on a monthly basis than a high care option. So, we are pleased and expect to see the pilots take advantage of those plans. On your question with respect to Cadillac tax, the agreement does specifically provide for a process, should the Cadillac tax become of impact during the term of this agreement. It does not provide that the company will pay some particular portion of that, but has a process that will be used between the company and the union, should that come into play at the appropriate time. Given the uncertainty in sort of approach on the Cadillac tax nationwide, I have to tell you I expect there to be a lot of conversations and a lot of discussion about what’s actually going to happen before the tax goes into effect in 2018. And this agreement specifically allows the flexibility for FedEx and the pilots to take advantage of whatever benefits might come from those larger national discussions.
Operator: We will go next to Scott Group with Wolfe Research.
Scott Group: Hey, thanks. Good morning guys. So I wanted to ask another one on Ground. I understand there is noise in the quarter. But if I take a step back, we’re not seeing the same kind of market share growth the past couple quarters that we saw for a long time. And now, again, I understand some one-time stuff, but the margins are not what people were hoping for. I want to understand if something has changed here from -- has the competitive environment changed with either UPS or the Post Office or just the nature of the business with e-commerce? Is that changing kind of the margin profile of Ground? And do we need to reset expectations here? Or maybe do you think that that’s all right, and we should get back to margin expansion and real earnings growth at Ground next quarter or near term?
Mike Glenn: Scott, this is Mike Glenn. I will start and then I will turn it over to Henry. Regarding growth, I think overall we’re generally pleased with the growth at FedEx Ground. It’s essentially in line with our expectations. We have seen a bit of a shift in terms of the type of growth with more growth being driven by e-commerce. I should point out that the industrial production forecast that I noted earlier as well as the manufacturing indexes that have been published, obviously those are not great signals for the commercial side of Ground and Ground is impacted by those numbers. So that’s a contributor. And we’ve also seen stronger growth coming from e-commerce. So we’ve seen a bit of a mix shift. But overall, growth I would say is essentially in line with our expectations.
Henry Maier: Scott, let me address margins. And let me also acknowledge upfront that with all the moving parts at Ground over the last couple quarters, we haven’t exactly made it very easy for your folks to do what you have to do. So let me reinforce a couple things. First of all, our business is changing rapidly. E-commerce is clearly changing the dynamics of the industry. And it’s driving credible growth. That’s a good thing. I think we’re best positioned to benefit from an e-commerce economy. We make decisions at this company for the long term. We don’t make them for the week. We don’t make them for the month. We don’t make them for the quarter. And in some cases, we don’t even make them for the year. But we look for long-term profitable sustainable growth. And I believe we are focused on all the right things for today and the future. I think some of the noise we are seeing in here is a number of one-time events, but there are also costs in here that are reflective of higher employee expenses, expenses year-over-year mainly driven by higher annual incentive comp accruals. There are also higher operating expenses that are driven by the network expansion we’ve been going through the last couple years, mainly in the form of higher rents and depreciation. In terms of ad, that’s a fixed cost. Those should level out through time as these new facilities come online and we bring the volume on and fill them. But I will tell you that nobody is more confident about the future of FedEx Ground than I am. I believe that we will continue to gain market share to grow profitably and provide the fastest and most reliable service in the industry. And our management team at Ground is committed to high-teens margins. We just have to get through some of these changes we’ve made and we’ve made some significant ones. But I’m confident we have a plan to do that.
Operator: We will go next to Kelly Dougherty with Macquarie.
Kelly Dougherty: Hi. Thanks for taking the question. I think FedEx is off the thought of as a global economic bellwether, but the majority of the revenue and operating income really does get generated domestically with a lot of that tied to the consumer. So just hoping maybe you can give us your thoughts just on consumer consumption as it relates to peak and beyond and how much of the business is really consumer versus industrial dependent perhaps by segment? And then on the international side, maybe some breakdown you can give us about the Asia and maybe China exposure, because I think that’s a lot less than some people might think?
Mike Glenn: Kelly, this is Michael. And I will start talking about the consumer impact and then I will turn it over to Dave Bronczek to talk about China. I would first say that while e-commerce and specifically consumer-related transactions get to headlines these days, the bulk of our business is still business-to-business related on a global basis. Residential deliveries certainly are increasing and are being driven in large part by e-commerce. They now -- residential traffic now represents about half of the volume and the network in the U.S. That’s skewed a bit by SmartPost, which is essentially all residential deliveries. So you kind of have to back that out and the numbers in the Express and Ground network are somewhat lower than that. But again e-commerce is a growth driver, but the bulk of our business both in the U.S. and around the world is still business-to-business. And I think it’s important to remember that. Now I turn it over to Dave.
David Bronczek: That’s right, Mike. And Kelly, you are right, it is business-to-business for us. China is a big marketplace for us, but its multinational companies around the world and they are big account, big multinational companies. So the impact for us is not very great, you are right. And that’s why our yields actually went up across the board and actually for all of international. So thanks for the question, Kelly.
Operator: We will take our next question from Ken Hoexter with Merrill Lynch.
Ken Hoexter: Great. Good morning. Just looking at your commentary on the LTL slowdown, how much worse do you see this market? Do you presume this is spreading to other parts of the business? I guess I am asking do you see this as a leading or lagging part of the economy and within your business and then also talk to your profit weakness at Freight if this was company specific or the industry.
Mike Glenn: Well, this is Mike Glenn again. I will start out talking about the LTL and then I will let Mike Ducker have any comments that he might want to add. I think it’s important to note that the LTL industry is very closely tied to industrial production. So when you see a 60 basis point drop in our industrial production forecast, it’s not surprising that we would see an impact on volumes. And I would say not only FedEx, but the industry as a whole. I certainly hope we’ve kind of seen the worst of that and that we’re looking certainly forward at a more positive outlook. I think we’ve baked in what we’ve seen. So I think that’s a positive. I would also say in terms of it creeping into other segments of the business, it certainly had some impact on commercial Ground as I noted in response to the last question. So those are the two areas that I think have been most impacted by the lower industrial production forecast and the manufacturing numbers that we’ve referenced today. We are quite confident going forward in our ability to achieve our goals at FedEx Freight. Our sales team is working very closely with the operations folks down at the local level and we have seen strong volume growth in FedEx Freight in key segments like small and midsize businesses. It’s also important to note that some of the softness in the FedEx Freight segment was due to some pricing decisions that we made in headhaul lanes to balance the network. So some of this I would say is self-induced and we did it for the right reasons, and some of this is obviously the IP forecast and related issues. So again, we are confident where we sit today and our ability to deliver results going forward.
Fred Smith: We have three questions from the internet. We will start with Henry.
Henry Maier: Yes. This question is from Rick Paterson at Topeka Capital Markets. How should we interpret your comment that Ground investment will peak this year and then subside in context to volumes? Do you expect volume growth at Ground to further decelerate or stagnant going forward? Well, my comment about peak investment or CapEx peaking this year really has nothing to do with volume and has everything to do with the fact that we made some decisions in the 2009-2010 period with respect to adding capacity in a very bad economy that put us in a position where we actually got a little bit behind on capacity with the growth in e-commerce. We have three major hub projects that will come online in FY'16, which is driving much of the peak in CapEx. And I remind everybody on the call that 100% of our hubs are highly automated. And we are moving to a network footprint where more and more of our stations are fully automated too. So this year, I’d call it sort of laughingly this is the pig in the python here in terms of these projects, because it is almost unprecedented that we will bring three major hubs online in the same year. In addition to that, we have a big pretty project list around automated stations. For the benefit of the folks on the call, we get some significant advantages out of automated stations. We are able to load more points direct and bypass hubs, less handlings occur but when less handlings occur, obviously the lower incidence of loss or damage. We reduced linehaul expense because we’re going point-to-point as opposed to going to a hub and rehandling and reloading those packages. And we’re going to be pretty close to 10% of the network stations being automated by the end of FY ‘16. So, my comment about CapEx dropping 30% to 35% is more a recognition that after this year, we will be in a more normal capital expenditure pattern. We will be ahead of the curve with respect to having network capacity to meet our planned growth. And we think going forward, we’re in a pretty good place in terms of having our CapEx be a little bit more predictable.
David Bronczek: Okay. This is Dave Bronczek. Question came from Ben Hartford, Baird. To what degree, have you already had to take incremental cost reductions during FY ‘16 to address the economic uncertainty in Asia and other emerging markets in recent months to ensure the Express profit improvement program remains on track? It’s a great question. Our network around the world are base powerful network we have in place is balanced around the world. We adjusted our networks several quarters ago. So right now, we have a very flexible network that when the volumes go up, we can add cost. When the volumes go down, we take out cost, which is why we've done so well in our profit improvement program. And a lot of the improvement has come from our international part of the business for exactly that reason so we’re balanced. We've made these adjustments quarters ago in anticipation of this and so we’re in good shape.
Mike Glenn: Yes. The question from Ben Hartford at Baird, given the softer U.S. industrial production environment, do you think a 10% plus freight margin is attainable on a full year basis? If so, what is the pathway to such a target? Yes, Ben, we believe that a 10 plus percent freight margin is attainable on a full year basis. As has been said in the press release and some comments as one, there were several issues in the quarter. First, we staff for a certain volume levels and those volumes were less than expected and what has typically being a pretty busy quarter. So staff size too large for volume. We were impacted by two other areas on the volume side. Some of the heavier shipments, which migrated from truckload to LTL, when capacity tightened as the consequence of the West Coast port strike, have migrated back to truckload. There is still tight capacity in the LTL sector. And then energy, the energy sector, many of our shippers in that sector have experienced traffic declines. We had several one-time events that affected our quarter that should not be repeated. And we see the pricing environment and the overall market environment still rational.
Alan Graf: I don’t want you to interpret that as 10% is our goal at freight. That is the absolute minimum bottom of the range. We should have freight margins in the teens.
Operator: We’ll take our next question from Scott Schneeberger with Oppenheimer.
Scott Schneeberger: Thank you and good morning. Going back to few questions ago, you were addressing, obviously at the lower economic out, the forecast of IT domestically. Specifically to the Ground segment, could you address how B2B trended throughout the quarter? And if it -- in fact your tempering of the guidance range for the year, is can be attributed beyond say, LTL to the industrial portion of commercial ground interaction on a go-forward basis here in the year? Thanks.
Mike Ducker: Scott, this is Mike. As you know, we report Ground as the segment. So, I’m not going to get into talking about specific growth rates and SmartPost versus home versus commercial. But I will go back and say that industrial production and manufacturing numbers have had an impact on commercial ground traffic. So it’s a little below where we had hope for, but overall traffic levels are fairly consistent with our expectations.
Fred Smith: And this is Fred Smith. Let me just make one comment here. It seems to me that people were sort of missing about the lower guidance. Had we not had the self-insurance reserve increase, we wouldn’t have adjusted the guidance down by 2% and we would have quote ‘beat the quarter’, because we don’t make quarterly estimates, you folks do. So the whole thing about the quarter is one issue and so self-insurance reserve. All the rest of the stuff is just noise and various issues when inside the operating company, so it's important that you focus on that one issue.
Operator: We’ll go next to Tom Wadewitz with UBS.
Tom Wadewitz: Great. Thank you for the question. You’ve been asked a lot about the Ground margin so. But it seems to me like that’s pretty important topic for the call today. I know you had the self insurance and Fred, you just said that that’s unusual but it’s the second quarter in a row that being unusual and I don't -- I mean I guess you're confident that it won't be a third. What about contractor issues? There is a lot of noise about contractors these days. The labor market has tightened somewhat, so potentially maybe your contractor costs were up. Or it’s just -- are there other factors in the broader cost drivers for Ground that we ought to be considering in view of the effective Ground margin. And I guess related to that, when do you think we’ll really see Ground operating income grow again because it’s an uncharacteristic fashion. We just haven’t seen strong Ground operating income growth for a while.
Fred Smith: This is Fred Smith speaking. Alan answered the first part of your question and Henry answered the second part of the question. So, we’re not going to go over the Ground again.
Operator: We’ll take our next question from Donald Broughton with Avondale Partners.
Donald Broughton: Good morning, everyone. Thanks for taking the question. I was hoping -- you discussed the balance of volume in the IP lanes. I know that with the decline in IP, you're seeing, I’m guessing with the decline of IP, you’re seeing the balance of volume and the trends of landing a Trans-Pacific deteriorate. If that's true, or is it improving, given the strength of dollar, if that’s true, how much is the underlying improvement in Express margins being understated as a result?
Mike Glenn: Well, the answer to your question is the Trans-Pacific lanes are balanced. Our Transatlantic, actually, we’re getting a lot more traffic out of Europe because of the currency more than we have anticipated and quite frankly that’s actually been positive for us. So, I think around the world, Donald that we are in very good shape. We have a very flexible network now. We've moved the right traffic into the right networks. FTN’s doing a great job for us as well and some of our other partner, so around the world you're probably right. We have a lot of upside to the Express profitability in the international part of the world.
Alan Graf: Donald, this is Alan. As you know, our InterContinental business is about far our most profitable. We've always had issues in Europe. We’re solving that with the TNT Express acquisition. So, we’re pretty pleased with where we are and where we’re headed and I can’t wait to talk about TNT once we get it in the fall.
Operator: We’ll take our next question from Brandon Oglenski with Barclays.
Brandon Oglenski: Well, good morning, everyone. And Fred, I don’t think it’s a lost on folks here that you’re earnings are up 14% in this environment. You’re still guiding for close to 19% growth. So it’s just about the incrementals from here. I would just comment on that as well. But my question is really for Christine Richards. We’ve seen this NLRB ruling on the Browning-Ferris Industries come out. And apparently, they are taking a more aggressive stance on joint employment, as well as you’ve had a lot of disclosure around what's going on with your Kansas ground contractor case as well, which went to the Supreme Court I guess. The Seventh Circuit federal court and the MDL has made some orders there too. So can you talk to both and that’s in NLRB. Does it really have jurisdiction over how you can define employee and player relationships at the state level? Where does the federal versus state issue come into play here?
Chris Richards: Well, give it a go. The NLRB has jurisdiction over the tests that are applicable with respect to when and how employees can choose to be represented by labor unions. And I have to say the recent actions by the NLRB are concerned and should be of concern to every business in America, whether it's a large business or small business. The BFI decision if it stands will discourage companies from contracting with many small and minority owned businesses. And these are the businesses that are the very heart of the U.S. economy. Add to this, the NLRB challenge to the franchise model that is used by McDonald's and any number of other companies and has been in place for decades, harms primarily the franchisees. Those persons and companies that have bought businesses and are operating them as a part of their plan to achieve the American dream. These rulings will ultimately reduce the value of those franchises. I mean franchising has being a successful model for many small and minority-owned businesses for decades and this action should be seen for what it is. It’s an assault on small businesses and basically on decades of valid contract law in the U.S. Now that being said, the current NLRB decisions are not going to significantly have a direct impact on state law, because as you know from following the issues not only with Ground but with other companies, the states individually apply their tests with respect to certain statutes that they have in place. And as you note, we have been aggressively working on our defense of the contractor model at Ground. Couple things, we are currently still engaged the Seventh Circuit with the 19 remaining cases after they rendered a decision on the Kansas case. We expect those cases to be briefed and determined individually as we go forward. So we're looking at additional time and effort there. We also have had mixed results in some other jurisdiction. The Eleventh Circuit, which took the appeal of the MDL decision, remanded that case for trial by jury on the classification issue and we expect to prove as we did in Washington State that the businesses that operate for FedEx Ground are businesses. And we are pleased to have the opportunity to do that. On the other hand, we've had some recent good news in connection with case pending in Massachusetts, where the First Circuit overturned another decision and found that the Federal Aviation Authorization Act preempted state regulations with respect to the situation. And in fact, a decision that had been adverse to Ground has now been sent back for entry of an order positive to Ground. So two things, you should expect the continuation of our efforts as we defend the Ground operating process. And the other thing you should expect is a real increase across the board in this country on joint employment challenges. And the ramifications of holding one business responsible for the actions or inactions of another business with which they have a contract are very broad. And I hope that rational minds will quickly conclude that this is not a fair interpretation of the law. But I think you are going to see a lot more litigation in that area and the ramifications are way broader than FedEx.
Fred Smith: This is Fred Smith speaking. Let me jus make one broader point here. I think most of the people on the call know this. All of the litigation that Christine was talking about is really in the rearview mirror. I mean, we bought RPS years ago which was built on a very innovative model that gave people areas as an independent contractor; you could build your business. I met with one the other day. I just did my heart good. He started off with one truck. Now he’s got 23 trucks, he’s got a house and lake house. And we had to in relation to the litigation and the state laws, which were essentially directed at contractors that were performing work for builders that have created this lawsuit of cottage industry here and now of course it being reflected in the Uber litigation and so forth, we moved years ago away from being able to give somebody that kind of an opportunity. So today we only contract with incorporated businesses. We audit them to make sure that they are paying their taxes and doing all other things. And I think unfortunately, it's eliminated a great opportunity for young people to build the business. But litigation Chris is talking about has no relation whatsoever to the business model that FedEx Ground has today. So it's just managing these things. And we won this case at the MDL litigation and then it went back to California in the Ninth Circuit at an adverse ruling and we settled the case and moved on. So it's important to recognize that litigation that you are talking about not the NLRB ruling is essentially a model that no longer exists at Ground.
Mike Glenn: This is Mike Glenn. I’ve got an email question from Matt Troy from Nomura Securities International. Given retailers willingness to explore creative promotional activities, such as the shipping promotions during the middle of the year, are you having conversations with larger retail customers about potential activities to shift or smooth demand in and around the December peak holiday season? The answer of the question is, yes. I would say that many retailers are attempting to do that. That's why it’s more difficult to actually forecast what the peak day is going to be. It was fairly predictable in years past. I think based upon our experience last year, it’s certainly more challenging in that regard. We are still dealing with capacity constraints in our 7 to 10 day period during peak season. We will continue to work with the retailers and e-tailers in an effort to try to shift that demand. But a lot of that’s consumer-driven. And I think there is a recognition that it’s going to have to occur at some point over time simply due to capacity constraints. But like anything in this regard, it takes longer to implement than you'd like to see.
Alan Graf: This is Alan. Before we sign off, I just felt compelled that I want to talk about Ground just for a second here. Don't get confused between operating margin versus earnings and cash flow. So the SmartPost change to gross revenue is simply math, and that reduces long-term margins just because of the math because we’ve higher revenue with the same amount of earnings. GENCO is a great addition for us in terms of operating earnings, operating profit and cash flow generation, the high ROIC. But if business has a lower margin than the Ground business itself, that's also math reduces the margin, but it improves earnings and cash flow. As Fred mentioned, the self-insurance reserves, although we’ve had two quarters in a row, we had a pretty bad month of May. We don't expect that to repeat. We’re improving our safety record at Ground. And so it's a one-time hit that won't be repeated. So you can look for us to continue to improve from where we are at Ground through the rest of '16 and beyond. But our margin position will be lower because of SmartPost and GENCO. Earnings and cash flows however will continue to improve as we start to reap the benefits of these CapEx investments and productivity improvements and be able to handle, take linehaul miles out, go more direct, and continue to improve our technology, we will be improving those. Thank you.
Operator: Ladies and gentlemen, thank you for your participation. This does conclude today's conference.